Operator: Good afternoon. Thank you for joining Romgaz Group Conference Call on the preliminary results for 2025. Following a brief introduction of our speakers, Mr. Razvan Popescu, Chief Executive Officer, will provide an overview of the preliminary results recorded by Romgaz Group in 2025, after which, we will proceed to the Q&A session. Please be advised that this conference is being recorded for internal purposes. On behalf of the company, the following speakers attend this conference. Mr. Razvan Popescu, Chief Executive Officer; Ms. Gabriela Tranbitas, Chief Financial Officer; Mr. Radu Moldovan, Energy Trade Director; and Mr. Ion Foidas, Production Department Director. With that, I will now invite Mr. Razvan Popescu for the opening presentation.
Razvan Popescu: Good afternoon, everyone, and thank you for joining our conference call to discuss the preliminary results for 2025, which we published today, and it comprises the key economic and unaudited financial results for the group in the selected period. Also, an overall presentation will be available on our website in the Investors section. I would like take this opportunity to address certain aspects regarding the market context last year with impact on our group's performance. Natural gas consumption in Romania rose by 1.1% last year according to our estimates, with gas imports recording a significant advance to a 30% weight in the national gas consumption. The Romanian Commodities Exchange posted again weak trading liquidity as a result of the current regulation in force, and we estimate that the average wholesale price increased by almost 30% year-on-year. On the Central European Gas Hub, the average monthly reference price also rose around [17%] in 2025 according to the data provided by the NAMR. With respect to the fiscal environment in the gas and energy sector, Romgaz activity were mainly impacted by GEO no. 27, which was effective from April 1, 2022, and subject to subsequent amendments in GEO no. 6 that started in April 2025. We would like to remind the main provision that applied to gas producers last year, regulated gas selling price of RON 120 per megawatt hour for the gas sold to households and supplier of households, heat producers and their suppliers for the production of thermal energy for households and to the transmission operator and gas distributions to a maximum of 75% of the technological consumption. This price level is applied starting from April 2024 and up to the end of March 2026. For the gas sold under regulated prices, payment of the windfall profit taxes is exempt and gas royalties are computing based on these regulated prices. Regarding the operational and financial performance recorded by Romgaz in 2025, we can highlight the following main activities. Natural gas consumption amounted to 4.95 bcm, marginally adjusted by 0.2% year-on-year, favorably within the strategic objective of the natural decline threshold of 2.5%. We achieved this important performance through continuous efforts aiming to consolidate the potential of our onshore production, which included completion of investment work to extend production infrastructure, allowing us to stream into production 6 new wells, specific investment works in active or low flow wells resulting in reactivation of 175 wells that generated a total flow of over 300 million cubic meters continuous rehabilitation project of our main and mature gas reservoirs in order to maximize production and increase the recovery factor. Also, we completed drilling of one new production well, finalized 7 surface facilities while other 23 are in different proprietary stages. We can also highlight that all these measures led to a significant 47% increase of our condensate production to over 54,000 tonnes in 2025 due mostly to higher production in the Caragele field. Regarding the Caragele Deep, works are progressing with the 76 Rosetti well in production test, 54 Damianca well that is being prepared for production test, and 78 Rosetti well in prod -- that is already in production, while other 7 wells are in different stages of drilling preparation. For the last quarter alone, we can mention that gas production amounted to 1.28 bcm, adjusted only by 0.9% from the 1.29 bcm record output that was recorded in Q4 2024 and significantly up by 7.4% compared to the 1.19 bcm that was produced in Q3 2025. We reported total revenues from gas sold of over RON 6.9 billion, marginally adjusted by 0.3%. This was the combined result of a lower average selling price while gas volumes sold increased by 5.5% to 4.82 bcm in 2025 compared to 4.57 bcm in '24. This is based on net volume extracted and sold from our underground storages and lower deliveries to the Iernut power plant. Thus, we hold a substantial position on the Romanian gas market. According to our assessment, Romgaz continued to rank as the leading gas supplier in Romania in the last year, with a significant contribution of 50% in total gas delivery. Also, we are strongly positioned in gas consumption covered from domestically produced gas, holding a substantial share of 71% last year according to our internal estimates. Revenues from storage services also advanced by 10% year-on-year to RON 562 million with injection-related revenues higher by 56% and capacity reservation activities having the largest weight, 55%. We succeeded to increase our revenues from electricity by almost 2% to RON 382 million, while production of our old power plant has expectedly decreased to 750 gigawatt hour in the last year. The Iernut power plant is still contributing to the security of supply in the energy market in Romania. Overall, the group recorded total revenues amounting over RON 8 billion, higher by 1.2% compared to 2024, based mainly on the strong contribution of our upstream segment. Regarding the expenses, the windfall tax recorded a 36% increase year-on-year to RON 767 million, mostly due to higher gas volumes sold at the regulated prices. Gas and UGS royalties adjusted by 6% to RON 559 million. Altogether, the 3 main taxes, windfall tax, royalties and the duty to the energy transition fund decreased by 26% year-on-year, but still represented a significant expense of RON 1.34 billion in 2025, having thus a positive effect on our profitability. Bottom line, we reported a historical annual net profit of RON 3.35 billion, higher by more than 4% compared to the RON 3.21 billion recorded in 2024 and representing the highest annual value ever recorded by the group. All profitability rates were substantial last year, with net profit margin rose to the highest historical annual value of 41.7%. And both EBITDA and EBIT margin continue to be significant at 54.9% and 46.2%, respectively. For the last quarter alone, we can underline a net profit of RON 912 million, 70% higher compared to the quarterly average of the past 3 years and a net profit margin of 46%. Regarding our CapEx, the Romgaz Group invested a consolidated amount of RON 3.86 billion in 2025. Investment in Romgaz Black Sea Limited, which basically is the Neptun Deep, representing RON 2.74 billion from Romgaz alone. And with respect to our flagship offshore project, we can mention that it is currently in the execution phase, in line with our programs and budget and the execution calendar. During 2025, significant milestones of the projects included not only start of the construction works at the microtunnel in Tuzla, but also the achievement of all 4 reservoir targets in the Pelican South field by drilling all the 4 wells that were in the drilling program. Also, it is important to mention that in December 2025, the Romanian government approved Addendum no. 7 to the Concession Agreement for the Neptun Block, extending the exploration phase in Neptun Deep. Anaconda-1 exploration well will be drilled in the deepwater area with the aim to identify, evaluate and exploit further the energy potential of the Black Sea. Another important objective is the combined cycle gas turbine power plant in Iernut, for which the completion rate is around 98% for the overall Turkey project and 90% that was remaining from the last EPC contract. Following the termination of works contract with Duro Felguera as executive of this project on October 13, Romgaz became the general contractor and we are in process to assign the contracts for the essential subcontractors and directly purchase the services and products necessary for the testing and commissioning of the plant. The commissioning of this investment may not exceed December 31, 2026, according to the government decision that was taken at the end of 2025. Another important event was the approval of the company's decarbonization strategy for the 2050 target on October 22 by the Romgaz Board. This strategy was developed in the context of European and national policies aiming to mitigate greenhouse gas emissions. Our net zero trajectory shall be periodically reassessed based on technological progress, availability of funding and the clarity of regulations. I would also like to mention that the second issue of the bonds under the EMTN program, which were oversubscribed 8x on October 28, our new EUR 500 million issue of bonds has a maturity of 6 years and an annual coupon of 4.625%. The success of the second issuance of bonds confirms the confidence of the institutional investors in the company's development strategy. At the end of the presentation, I would like to emphasize the significant performance recorded by the Romgaz stock on the Bucharest Stock Exchange. SNG share price doubled over the last 12 months period, leading to a current market cap of around EUR 9 billion, Romgaz representing the third largest domestic stock and blue chip on the Bucharest Stock Exchange. With this, I would like to close our presentation, and thank you all for your attention. Thank you.
Operator: [Operator Instructions] So we have a question from Ms. Daniela Mandru.
Unknown Analyst: What I see -- just compared to my estimates, I've seen some large deviation in the income tax expense. I don't know, you recorded some deferred income tax or something in the last quarter?
Unknown Executive: For 2025, it's still in -- still valid, an ordinance issued a few years ago, which provides for certain discounts, let's call them, on taxation if equity increases. Considering the increase in equity from 2024 to 2025, the income tax benefited from a 14% decrease.
Unknown Analyst: Sorry, can you detail what equity increase?
Unknown Executive: So equity in the balance sheet.
Unknown Analyst: Equity in the balance sheet. Yes, please.
Unknown Executive: Increased from RON 14 million in December 2024 to RON 17 billion in December 2025.
Unknown Analyst: And sorry, I don't know what is this regulation -- not regulation, but this exemption referring to. So if this equity increase, you can -- so can you please detail this tax exemption, or what it is?
Unknown Executive: Yes. It's based on an emergency ordinance, 153 issued a few years ago, I don't recall the exact year. Just a second. So it was issued in 2020. And it has several discounts. One of them is if equity increases compared to 2020, it benefits from discount of 3%. Then another discount is if equity has an annual increase between 20% and 25%, it benefits from a decrease of 9%. And there's another 2% decrease if...
Unknown Analyst: Okay, I understood. I understood the logic behind. But this discount of 3%, 9% is applied to what, to the full year?
Unknown Executive: Yes, for the full year.
Unknown Analyst: Yes, to the full year, but applied to what? To the normal income tax? Applied to what?
Unknown Executive: Yes, the current income tax. Yes.
Unknown Analyst: To the current income tax. Okay. And I was not from the very beginning, but can you disclose the quantities sold at kept prices in Q4, please? And what do you expect for 2026 if it's possible?
Razvan Popescu: '26, unfortunately, we can't -- we don't have the final ordinance. So the ordinance has not been published. The ordinance not having been published, we do not have the current quantities right now. For the entire year of 2025, around 80% of our entire production was sold at regulated prices -- over 80% was sold at regulated prices.
Unknown Analyst: Okay. And now regarding the -- I didn't see the note, but I believe you don't publish them. Regarding the financial cost, and regarding the capitalized interest costs, can you disclose the total interest cost capitalized in the full year or...
Unknown Executive: Yes. Just a second. So of the total income -- finance cost of RON 183 million, we capitalized RON 69 million for the full year.
Unknown Analyst: RON 69 million?
Unknown Executive: Yes.
Unknown Analyst: Okay. So please help me a little bit here. I'm not quite familiar with these capitalizations and so on. So when the investment will be fully functional, these costs will be -- all these interest costs will be reflected in the financial results?
Unknown Executive: No. It will be included in the value of the investment, and it will be depreciated based on the useful life of the investment. So it will...
Unknown Analyst: Yes, it will be as depreciation, yes. Because I see that [ DG, ] they did the same, but all the capitalized interest, they put in the financial results. So I'm just wondering if you will do the same. I don't know the reason why. Okay. But for the first quarter of the year -- of this year, do you know the volumes at the regulated prices, yes?
Razvan Popescu: For the first quarter of '26?
Unknown Analyst: Yes.
Razvan Popescu: Yes, they are the same. So it's around 80%, 81% for the first quarter of 2026. So they are basically the same.
Unknown Analyst: It's basically the same compared with the last quarter, with Q1 2025?
Razvan Popescu: A bit over 10 tera for the first quarter of '26, it was a little over 10 tera as well for the last quarter of '25.
Unknown Analyst: Okay. And regarding the execution of the guarantee, I don't know because I didn't have time to go through all the notes, the report you published. Have you registered them in -- yes?
Razvan Popescu: Yes. We registered them.
Unknown Executive: Yes, we recorded the amount that was executed around RON 60 million. We still have to recover around RON 20 million. The provider of the guarantee would not say the amount that he owes us. So that amount was not recorded yet. But we are taking action -- legal action against them.
Unknown Analyst: So probably, this amount will be recorded. So there are -- you can record the remaining of RON 21 million in the first quarter of this year or later? What is your estimate?
Razvan Popescu: It depends what they are going to pay. We cannot estimate right now.
Operator: Ms. Irina Railean, we are ready for your questions.
Irina Railean: I hope you hear me well. My first question is regarding these changes on the regulated gas market. I mean, the expected change from regulated gas prices to some kind of administrated gas prices. How does this impact Romgaz? I understand you don't have the volumes for this year. But in general, what is the difference for a producer, let's say? And also here related to your supply segment strategy, I mean I see you plan to expand to the supply business? Will you enter also this administrative price scheme? If you could give us more details here?
Razvan Popescu: Yes. Thank you for the questions. From our analysis, the impact for the producer is, of course, going to be the [indiscernible] difference, that is going to be assigned to the regulated price. So this is going to be the impact. But of course, it depends right now on the quantities that are going to be allocated because in the past years, we had a fluctuation from 55% up to 100% of our quantities on this ordinance. We expect for it to be published if it's going to be published probably next month, and we'll have the allocation of quantities in order to have a correct calculation and impact on the profitability. Regarding our supply. For us, we've started works on integrated and creating this line of business last year. The team from a commercial, economic, IT has been working around the clock. From a technical perspective, we will be ready to be able to cover the supply for the small household consumer and nonhousehold probably starting from 1st of April. But of course, this is relative compared to the quantities that are going to be allocated because right now, Romgaz is not a supplier to this household. So we do not have a portfolio in order for quantities to be allocated to ourselves. So probably, the bulk of our quantities will be again allocated to the thermal energy producers and to the suppliers of the house. Also, there is another ordinance, again the [indiscernible] ordinance that was published in November that kept our current workforce number and also the spending that we can make and the hiring that we can have to the levels of the end of November. We have a memorandum that is -- currently, we have pushed it to be approved by the government, but this has not happened as such. So at this point in time, we have a couple of unknowns to the supply business.
Irina Railean: So basically, you don't know exactly the quantities, but does this prevent you from further trying to develop the supply business? I mean, even though if you have to deliver some of your -- part of your production, so this heating producers and suppliers of households, does this prevent you from like developing further your own portfolio?
Razvan Popescu: No, we will develop our portfolio. It depends on how this ordinance will be published for our strategy for the supply business, we'll see how we'll approach, probably the commercial, the small non-household commercial that will be on the free market. We will not stop developing this supply business, but we need to see exactly how we'll draw our strategy, given the quantities that are going to be allocated because, of course, this will impact our pricing power because we are basing the synergies that we have from the production to the supply business and the fact that we are the producer. So basically, the entire supply, our supply business was drawn up from our own internal production.
Irina Railean: Okay. So a lower share in this case will be more favorable for Romgaz because -- okay, because you'll have a remaining larger part to support your supply business?
Razvan Popescu: Correct.
Irina Railean: Okay, okay. And you said you don't have contracts for households, but what was the situation on the smaller commercial or industrial clients? Do you have any discussions there or potential clients for this supply business?
Razvan Popescu: We do have even without having this typical supply and integrated supply business, we actually did offer gas to small non-household suppliers that ask for it. So Romgaz somewhat is already in the non-household let's say, business even now. We have the [ fleet, ] and we also have a couple of thousand people in the [ fleet ] that are registered to Romgaz already. So basically, we have a small foothold in the supply business. But in order to make it commercial on a larger scale, we do need available quantities in order to be able to be, let's say, favorable and get the market share in this respect.
Irina Railean: Okay. And regarding Azomures, if you can provide us some update if you have in a favorable, let's say, situation, any estimated CapEx besides the acquisition that you will need to allocate if the transaction concludes? And what are generally the scenarios that can materialize this year regarding this acquisition?
Razvan Popescu: We are currently in negotiation. We are negotiating the asset purchase agreement with Azomures. And we have made a nonbinding offer on interval price to them and we are expecting for them to come back. We'll see if it will conclude or not. Until then, I cannot give any details regarding CapEx or other investments.
Irina Railean: Okay. And regarding Azomures, there were some discussions in the press and I'm not sure if you could provide more transparency here that you provided or the price was mainly the issue here. And as you view the acquisition price lower than the partner. So that's why I'm asking about the scenarios. What if you don't agree on the price, what if you -- or what are the possible solutions or situations or outcomes here?
Razvan Popescu: So the possibilities are 2. We either do the acquisition or not. Of course, it is a matter of price. As I stated on Monday, we view Azomures as a distressed asset. We view the issues that the entire petrochemical industry is having in Europe because of the high gas, prices because of the [indiscernible] regulation, because of the CO2 pricing. So our offer was in accordance with this scenario, with the maturity of the asset and of course, with the modeling that we've done on the asset. Romgaz has to view this acquisition also as commitment to an investment for the foreseeable future. So for us, we took everything into account when we made this offer.
Operator: We have a question from Laura Simion. What is your production estimate and what volumes will be sold in 2026 at regulated price?
Razvan Popescu: Our production estimate for 2026 is keeping our 2.5% decline in production in check. As you've seen for the last 2 years, we've been doing this actively, and we've not lowered our production. So we are hoping to keep it around to 4.9. bcm for 2026, again with the wells that we need to put into production with workovers that we're going to have on our mature fields. At regulated prices, we really don't know what the allocation is going to be. We have the entire quantity sold for Q1, and around 47% of our production is sold to the end of 2026. So it has to be somewhere in the vicinity of around half of our production probably at a regulated price.
Operator: Another question from Ms. Laura Simion. What is your estimate for 2026 power production?
Razvan Popescu: This is a bit complicated because for our energy business, we are looking to start the -- restart the works in the Iernut power plant. Right now, our old power plant is shut down. We've been having some technical issues with it. So this is going to be very, very volatile to say so. The moment that we'll start testing in the new Iernut power plant, then the old Iernut power plant is not going to be put into production. We had up until 2 weeks ago, the plant was working at full capacity. We'll probably be trying to have it work again for a couple of months. But after that, given the progress in the Iernut side, it's going to be probably stopped.
Operator: The next question from Laura Simion. When will you start retail business for gas?
Razvan Popescu: As I said, it depends a lot on the quantities that are going to be allocated on the ordinance in 2026. Technically, we want to be ready starting for the 1st of October. So in terms of processes and in terms of technical capability.
Operator: Ms. Simion wants to know what will happen with Trident Block after Lukoil retired?
Razvan Popescu: So officially, Lukoil has not retired yet. This is mostly a question for the Naryan-Mar. The concession agreement and the exploration phase for Lukoil and for -- at the end of this year. But it is interesting to see if Lukoil will divest and who will be the new investor in Lukoil. Of course, Romgaz will work closely with any company that is trying to develop that block. We have a 12.2% stake there. So right now, what we can do is only wait to see how these things will work out.
Operator: Another question from Ms. Simion. Do you estimate that quantities sold at regulated prices in 2026 will be more or less than 2025?
Razvan Popescu: For us, it's probably going to be less because we already have quantities sold in 2025. But if you take into account the Q1 quantities, which is basically at over 80%, they could be in the same vicinity of 2025.
Operator: And finally, the last question from Ms. Simion for store quantities, will it remain the obligation to be registered at regulated prices after the 1st of April 2026?
Unknown Executive: So far, we have -- we do not have gas at regulated prices in our storage facilities. And we do not know what happens with the remainder.
Operator: We have a hand raised from user ending in 85, Mr. Tamas Pletser?
Tamas Pletser: Yes. Can you hear me?
Operator: Yes.
Tamas Pletser: Yes. I got two questions. First of all, you mentioned the Lukoil stake in Trident Block. Would Romgaz be interested to acquire Lukoil stake? I think you suggested on your answer that you may be not interested, but I'm just curious what is the reason that you are not interested, if you are not interested? And if you are interested, please explain us why would it be interesting for you? That would be my first question. And my second question would be regarding the Iernut power plant. Last time you said that you would finish the project by yourself. Is this the case right now? Will you make the last part of this investment by yourself?
Razvan Popescu: Yes. Thank you for the question. So regarding the Trident block, from the information that we have right now, Lukoil is also selling this asset in a complete deal with its other assets. So it's not for sale separately and it has not been offered for sale for Romgaz, first of all. So they are looking to have a complete sale of their entire asset. This included, but I cannot talk on behalf of them. The Iernut power plant, indeed, Romgaz will act as an EPC. Yesterday, we went into auction for the site management, which is one of the most important contracts. We have companies that have extensive expertise in offering site management in such recovery projects. And for us, this is one of the most important things that a site manager needs to know is to know how to recover such project that they cut some corners in order to put it into production from the companies that have made the bid for the site management. Some of them have seen the site, and they are confident that the plant can be put into production by the end of 2026.
Operator: We will proceed now with Mr. Oleg Galbur.
Oleg Galbur: Yes. I hope you can hear me well. I have several follow-ups. First of all, can you please disclose the exact volume of gas sold at regulated prices in Q4 '25? And what level of realized gas price has Romgaz recorded in the last quarter of last year? And also since we don't have yet a full report with a full disclosure, it would be very helpful if you could disclose the profit before tax by segment. I mean by upstream, storage and power for the full year or last quarter of '25. And then I have two more general questions. The first one refers to the production outlook. So it is my understanding that for this year, you would rather expect a flat level of gas production. Please correct me if I'm wrong. But otherwise, it would be also interesting to know what is your expectations longer term, let's say, for the next 3 years, according to your strategy. Do you see the possibility to keep the production stable? Would you rather see small production declines? So putting in the longer-term perspective would be very helpful for us to understand which way you see developing? And lastly, on the upstream production costs and here, I refer to all costs excluding taxes, windfall taxes and royalty expenses. So if I look correctly at those expenses -- production costs, sorry, then I calculate a level of RON 320 per 1,000 cubic meters for the full year of '25 and that would imply a 22% increase year-over-year, which would be in line with the cost inflation seen by other oil and gas producers in the region. So first of all, if you could confirm whether I'm not wrong with my calculation. And second of all, it would be helpful to hear your comments about the cost development, whether you see some high cost inflations coming from labor, from services, coming from other angles and whether you have a strategy in mind or already an action plan how to contain this growth or even maybe improve your cost base? So that would be my -- those would be my questions.
Razvan Popescu: So regarding the sales in the fourth quarter of 2025, we sold 10.23 tera at regulated prices, ut on an average selling price of RON 134 per megawatt. In the first quarter of 2026, we expect around 10.38 tera to be sold at regulated prices at a bit higher price, around RON 137 from our estimates. Regarding the cost inflation, we do not publish necessarily our production cost. Yes, it can be computed. You are not far from the truth. We have been seeing inflationary pressures on -- especially on the services side. Given the fact that Romgaz's mature fields need heavy investment, heavy investment in compressors, heavy investment in the well workovers, it's quite hard to keep production at this level without sizable investments. That's why we are investing in the Caragele field as well. That's why we are drilling in the Caragele field as well. We've seen inflation also stepping to the -- to our contracts for drilling the rigs. So yes, we have been seeing pressures. And one way that we are trying to mitigate this is through our SIRCOSS branch. Given the fact that we do most of our well workovers with internal sources, it helps us keep the costs in check. So this is why I think we've not seen such a big inflationary pressures on our production cost. Also, we are working in digitalizing these fields. This is one of the main pillars of strategy that we are trying to implement, and we are implementing right now. We are implementing the well production, well production type of analysis, and this will help us with the well workovers and also to be able to have a more clear picture on the production and what we can do to keep it at this level. Looking forward, onshore production in Romania, except for the Caragele field and the Boteni project, there aren't that much prospects that we can work on. This is why we invested in the Neptun Deep. This is why we have gone offshore in order to be able to have this production capacity and in order to keep gas as a transition fuel up to 2050. But our onshore is getting difficult year after year because of our mature fields and the fact that without having these investments, so we are talking around EUR 200 million each year only in keeping production at this level, we will have a much higher decline somewhere in the 8% region in our mature fields under operation.
Oleg Galbur: That's extremely helpful. So in other words, just to check if I understood correctly, the strategy is to continue investing into -- if not maintaining, at least lowering the production decline in the next years and I'm talking about the current portfolio, onshore portfolio, not including the new developments.
Razvan Popescu: Correct. Correct. This has been kept in check through well workovers around, let's say, 6% of the, let's say, counter decline of production and from new wells around 3%. So this is how we manage to keep the production, the production in check. We are, of course, investing in new drying station. We are investing in new compressor station and also the deep wells that we have been drilling at Caragele in 2025. We had the deepest well ever to be drilled in Romgaz history, 5,056 meters. We are trying to open the Caragele field deep gas reservoirs in order to counter this decline in production that we have from our mature field in the Northwestern Romania.
Operator: Ms. Ioana Andrei has sent us some questions. First, a follow-up question on supply business. Do you have a target beyond the next year?
Razvan Popescu: Beyond next year, of course, we're putting into production the Neptun Deep and starting the complete liberalization of the price in 2027. We will keep our strategic approach in order to be the supplier, the main supplier in the years to come for the Romanian household and non-household consumer.
Operator: The second question from Ms. Andrei, Ioana. Regarding Neptun Deep, since drilling has begun on the second perimeter, can you confirm whether the drilling results from the first perimeter validate the anticipated volumes?
Razvan Popescu: Yes.
Operator: Please also share whether there is any deviation from initially estimated volumes?
Razvan Popescu: I cannot share that as of yet.
Operator: Is there a regional trading strategy? Could you please share?
Razvan Popescu: Right now, the trading strategy for the Neptun will be devised after we know what we're going to do with the Azomures and how it will and approach our estimates for the supply business and Moldova. But right now, we are more focused on delivering the Neptun Deep with OMV Petrom, the operator. We are supporting the operator in finalizing the drilling and continuing the drilling on the Domino field. It's going to be, let's say, a year, not necessarily, but very intensive year in terms of investment, technical exploration there, and we are trying to be more concentrating on that.
Operator: And the third question from Ms. Ioana Andrei regarding power prices. What is the estimate impact of vertical corridor on gas transit, especially considering the influence of LNG?
Razvan Popescu: We see the vertical corridor as a complementary source of gas, but as a possibility of diversification in Europe. And if the -- and when the vertical corridor will be operationalized, it will give, let's say, a connection with the TTF with the Henry Hub prices. So for us in this region, it will have a beneficial impact from the perspective of possibility of gas supply and diversification.
Operator: Regarding Caragele, what is the current status of the project? Please share something on the volumes?
Razvan Popescu: The current status of the project is evolving. As I said, we have drilled 3 deep wells in Caragele. One is already in production, 2 of them are waiting to be finalized in order to be put into production. So basically, the drilling was finalized in Caragele. Around 8% of our entire production stems from this field and 97% of the gas condensate production comes from this field. So yes, we can expect a continued increase in the Caragele fuel production.
Operator: The next question, we will take from Ms. Daniela Mandru.
Unknown Analyst: Yes. So regarding CapEx, how much did you invest up to now in Neptun Deep? Yes, this is the question, first. And the other one is regarding an update on Iernut. I'm not sure if I know anymore when this new power plant will be commissioned. So I want some clarification, please, on the issue.
Razvan Popescu: So for the Neptun, this year, we've invested around RON 2.74 billion. We've invested around a bit less than RON 4 billion last year. And for this year, we anticipate around RON 3.5 billion, around 70% of our entire investment in Neptun is going to be the highest CapEx here in Romgaz's history. For the Iernut power plant, as I said, we went into auction and procurement for the site management. There, after the site management, we are working on 58 different contracts in order to negotiate with subcontractors that have already worked in the site. And we are confident that we're going to start works in the site starting from late March to early April. When these works will start, we'll update the market, and we will continue to update the investors regarding how works are going to go forward and be finalized. Romgaz is going to act as an EPC, and we are the ones that are going to do all the contracting for this power plant. But of course, with the support of well-renowned site manager and with the support of General Electric that is the producer of the equipment in the site.
Unknown Analyst: Yes. Here some more clarification. I've read in the newspapers, I don't know if it's true or not. So regarding the grant for this Iernut plant, I read that if you don't commission the plant by June '26, you will be forced to reimburse the grant? This is true?
Razvan Popescu: It's always been like that. So it has been prolonged, but it's 31st of December '26.
Unknown Analyst: So now it's prolonged to the end of '26?
Razvan Popescu: In December '25, it has been prolonged up to the 31st of December '26. So we have almost a full year in order to finalize and put it into production, but at the parameters, it should work.
Unknown Analyst: So just to conclude for now, you don't know exactly when this plant will start producing power?
Razvan Popescu: No. We need to have everyone back in the site. We need to have General Electric and the subcontractors in the site, and we need to have the site manager to see if we can put it into production as soon as possible. For us, it's very important to start the test as soon as possible and to be able to put it into commercial production by the end of this year. But of course, it has a number of factors that it depends.
Operator: So finally, questions from the user with the number ending in 85. Could you please unmute your microphone?
Tamas Pletser: I wanted to ask about dividends. I know what you've been communicating in the recent past that before the start of production at Neptun, you don't see dividend levels coming to the historical of about 50%. But still for last year, for 2025, a year with quite good results. How should we think about the dividend payout? Would you see it staying at the previous 2 years' levels? Or do you still see room for some increases? So any comments on this matter would be very helpful.
Razvan Popescu: Thank you. Given the fact that we've prioritized the Neptun Deep project, and given the fact that 2026 is the highest CapEx intensive CapEx years from this company's history, we would like to have a balanced approach of the dividend payout. So in our opinion, the dividend payout has to take into consideration the fact that we still have some long way to go until the Neptun Deep will be put into production. We keep our estimates that just after when Neptun Deep will be put into production, the dividend payout will somewhat, again, be raised to, let's say, more historical standards.
Operator: Are there any further questions? So if there are no further questions, we would like to conclude today's conference call. For any additional information, please contact our Investor Relations team. And on behalf of Romgaz, thank you for joining us today.
Razvan Popescu: Thank you, everyone.